Operator: Good day, ladies and gentlemen, and welcome to the Cavco Industries, Inc. Second Quarter Fiscal Year 2013 Earnings Call and Webcast. [Operator Instructions] As a reminder, today's conference call is being recorded. I'd now like to turn the conference over to your host, President and CEO, Mr. Joe Stegmayer. Please go ahead. 
Joseph Stegmayer: Thank you and good morning, folks. We'll begin today with Dan Urness, our Chief Financial Officer, will read the disclaimer information and give a brief financial report. I'll make a few comments, we'll take questions. Dan? 
Daniel Urness: Good day, everyone. Before we begin today, we respectfully remind you that certain statements made on this call, either our remarks or our responses to questions may not be historical in nature and therefore are considered forward-looking. All statements and comments made today are made within the context of Safe Harbor rules. All forward-looking statements are subject to risks and uncertainties, many of which are beyond our control. Our actual results or performance may differ materially from anticipated results or performance. Cavco disclaims any obligation to update any forward-looking statements made on this call and investors should not place any reliance on them, nor complete information on the subject is included as part of our earnings release filed yesterday and is available on our website and from other sources. 
 For our financial report this quarter, net sales for the second quarter of fiscal 2013 were $110 million compared to $130 million during the same quarter last year, a decrease of 15%. 
 Net sales were lower for various reasons, including 229 fewer home sales. The company sold 1,918 homes during the second fiscal quarter, down 10.7% from 2,147 homes in the prior year quarter. In addition, the average sales price per home this quarter was 7.5% lower at $51,566 versus $55,746 in last year's second quarter from market demand skewed toward lower price point homes and competitive pricing pressures. 
 Adversely impacting the number of homes sold was a larger proportion of internally financed wholesale sales, up 50% this quarter versus the second quarter last year, resulting in delayed recognition of the related revenue. The company also modestly expanded the internalization of factory sales to company-owned stores, which also defers revenue recognition until the home sales process to the consumer is complete. 
 As for our financial services segment, net sales this quarter increased 8.3% to $11.2 million versus $10.3 million in the prior year quarter. 
 Consolidated gross profit, as a percentage of net sales this quarter, was 23.4%, versus 21.7% in last year's second quarter. The percentage increase arose mainly from improved production planning and operating efficiency from more consistent order backlogs. At September 30, 2012, order backlog stood at approximately $22 million, compared to $20 million at the end of the same quarter last year. 
 Selling, general and administrative expenses in the fiscal 2013 second quarter were $20.1 million, a decrease of $1.5 million from $21.6 million in Q2 last year, mainly from lower sales volume. 
 Other income was primarily comprised of interest earned from inventory finance notes receivable. 
 Net income attributable to Cavco stockholders in the second quarter of fiscal 2013 was $1.3 million compared to last year's second quarter net income of $1.7 million, with diluted earnings per share of $0.18 versus $0.24 last year. 
 Comparing the balance sheets for September 30 of 2012 to March 31, 2012, cash was up approximately $6 million. Consumer loans receivable and associated securitized financings were both lower, in connection with ongoing run-off of the underlying securitization loan portfolios. Inventory finance notes receivable grew $2.6 million from expansion of our wholesale finance initiatives within our retail distributors. 
 Construction lending credit lines utilized by our mortgage company were $3.5 million lower. We are reducing the use of these lines and instead using internal funds for construction loan originations. And retained earnings grew by Cavco's applicable proportion of net income. Joe? 
Joseph Stegmayer: Okay. Thank you, Dan. We were, of course, not pleased with the decline in sales, but the big -- several things to keep in mind, as Dan mentioned, average selling price is somewhat lower, which is part of the continuing trend we're seeing in housing in general. People buying lower price point product. But those numbers will shift somewhat from month-to-month and quarter-to-quarter, depending on product mix that happens to fall. So I don't read a lot into the lower average selling price. I think that's going to gradually be moving up somewhat, but it's got to be -- it's going to remain that our primary products will be in the entry-level price points or in the modest price point product for the time being. 
 Another thing to consider, is, as Dan mentioned, the inventory financing. This gets a little confusing, especially for people just starting to look at Cavco. We made a decision about 2 years ago to provide wholesale financing to our distribution base if they needed it. And this was a result of a number of finance companies exiting the industry, especially finance companies that have floor plan inventory for retailers, much like car dealers and boat dealers and electronics retail stores do. Our retailers do not typically own the inventory, they finance it, and they set it up for display purposes. And then as they eventually sell those display homes, it'll pay off the floor plan. Because a number of companies left the industry, including The Associates, Amburgy and a number of other banks that were specially lending to this industry, we stepped in and said we would provide that same financing to our lenders -- to our distributors rather. And in doing so, it certainly has enabled us to gain, we believe, some competitive advantage in the marketplace. Some of our competition don't have that capability or the interest in lending in -- to their dealers. It has been a significant help to us and has helped cement or improve and increase our relationships with our distribution.
 But in doing so, we cannot recognize the revenue where we sell homes to those customers who are financing through our internal floor plan operation. So it certainly has delayed revenue recognition. This has been going on, as I said, for about 2 years now and will continue. And there will be fluctuations in this, again, month to month and quarter-to-quarter, year-to-year. It just depends how many homes are sold in any given month or quarter, and how much revenue that we can recognize or how many we actually sell to distributors that are financed. So there's going to be a pipeline and it's going to sway in and out. In this particular quarter, we had more that we financed to retailers than retailers sold. Once the retailer sells the home to a consumer, pays us off, pays off that retail, that wholesale financing, I should say, then we can count the revenue. But as you can imagine, that number is going to be fluctuating because the homes they buy, the inventory or the display might vary from 1 quarter to another versus their sales that are going out the pipeline. So if I haven't confused you enough, that's what the revenue recognition issue we're talking about is. And in this particular quarter, as I say, we had more that we financed than that pulled through the pipeline and paid off on those wholesale financing lines. 
 So to us, that's also a good sign. It means our retailers are buying homes. Those eventually will sell through the other side. So we're not as concerned as you initially might expect about the decline in sales. Our shipment levels actually were fairly even with a year ago, but we did finance more of the product. And that, as Dan mentioned also, we are now selling homes to home company stores that we acquired through Palm Harbor, and that too, once we sell a home to a company store, we cannot count that as revenue until it's retail sold to a customer. And that process might take sometimes couple of months. So our retail store buys a home from one of our factories, we can't recognize the revenue, they turn around, they sell it to a consumer, but by the time the financing goes through, and the consumer can actually fund that loan transaction through their mortgage company, and we get the customer in the house, that could take as little as weeks, but it could take as much as 90 days. So that also delays. And again, in any given time period, if we have more homes going to the -- our retail stores versus being pulled through, it's more of a timing issue than anything else, because most of the homes we sell to our retail stores are sold to consumers but again, until the transaction is funded, we can't count it as a sale. 
 So I hope that explains some of the decline in sales. As I said, we're not as concerned about it as you might initially expect. And in fact, most of the declines we're seeing are in isolated areas, the West Coast is still very weak, the Northwest is also a very challenging market, as is Arizona, where we consider the Southwest market. Arizona and Nevada are quite slow as well. 
 Other parts of the country, we're seeing some improvement, even Florida, which has been a highly challenging state for a number of years. We're seeing some improvement there. It's a little too early to tell, but the signs of improvement point towards perhaps modest continuing improvement in the months ahead. And we'll be watching that and pursuing that very aggressively. 
 We do feel that a lot of the major factors are still in our favor, the price point of our homes, the increasing cost of renting, either apartments or homes. In most markets, rental rates are moving up that should help us. What we need, obviously, is more employment and less underemployment, where our potential customers might not be able to qualify for a loan from an income standpoint, or obviously if they don't have a job, they're certainly not going to be able to qualify for a loan. Those are still our primary challenges, remain so. And until we see the marked improvement in employment, we'll be facing some of these challenges.
 As Dan mentioned, our balance sheet remains in a very strong position. And we have flexibility to do this wholesale financing that we've talked about. In fact, it's a good business for us. We have flexibility to do other things as well. So we're still cash flow positive and expect that to continue. So we're -- we feel very well-positioned. And I think once we get through this election period, that's also causing some decline in traffic. Once we get through the election period, regardless of the outcome, we think things will settle down somewhat and we'll get to a more normal retail traffic pattern. With that, we'll be happy to take any questions you might have. 
Operator: [Operator Instructions] Our first question comes from Greg Cole with Sidoti & Company. 
Greg Cole: Just with the, I guess, the channels that, I guess, pushed the revenue recognition back, is there anything, I guess, major causing that? Are you seeing the dealers increasing their inventory pretty substantially? Just, can you give me a little color on that? 
Joseph Stegmayer: Sure, Greg. It's not generally that dealers are increasing inventories substantially. It's, in some cases that we have acquired a new distribution, new dealers that are stocking homes, but most of the case we're shifting is sometimes new, the new dealers I mentioned and/or projects. So if the dealer or distributor community operator has a larger order, that they're floor plan financing, let's say they have a, an order for 10 or 20 homes, we finance that, that can swing these numbers at any given quarter. And in fact, in this past quarter, we had several projects we worked on in concert with our distribution base, where they were buying multiple quantities of homes, and they were financing through our floor plan and we were not able to count those as revenues. So I don't think it's any major trend one way or the other, we do gain some shelf space and we -- increasingly we think our potential for market share gains, because as you gain shelf space among retailers, when consumers do start to visit those stores to look at display homes, if you have more homes than your competition, obviously the likelihood is that you have a better chance of selling 1 of your homes to that consumer. And we feel very good about that, that we feel we've made good progress on increasing shelf space among our distribution base and, at adding what we call new points of distribution. So that's a part of the answer to your question. But largely, these fluctuations at any given quarter are more who is buying the homes, is it a customer who is using our floor plan? If customer's buying homes that's not using our floor plan, obviously, we'll have less impact. In this particular quarter, we had more of the -- more of our demand was coming, it so happened, from customers who were using floor plan. 
Greg Cole: Okay. And I guess with this financing, do you only lend for your homes or can you lend, so if a community within an area that you're not as strong in, whom was buying more purchasing homes from someone else? Do you lend to that, as well? Or is it just for your homes? 
Joseph Stegmayer: The latter. It's just for our homes. So we will only finance Fleetwood Homes, Palm Harbor Homes, Nationwide Homes and our Cavco Homes. We would not -- we would not finance competition. But keep in mind now, we have pretty wide distribution in most states, most markets in the country. So there is an opportunity for us to convince that retailer to carry one of our product lines. It's a challenge to, obviously to convince them to switch or to add our product line. But as I say, we have been having some success in doing that. 
Greg Cole: Okay. And then, with the margins on these, is it -- I mean, do you get a larger margin when they go through these channels from the factory-built housing? 
Joseph Stegmayer: We don't get a larger margin on the home in selling it if they retail -- if they wholesale finance it with us. The wholesale financing business itself is a profitable business for us, but the home price doesn't change. The dealer doesn't pay more or less for the home because they finance it with us. The financing transaction is a separate issue that they can choose to take advantage of or not. Some dealers will have their own source of financing, their local bank, some of them, in less often cases might have their own money, they put it into their inventory. But it's usually, they have an alternative source of financing if they don't use ours. 
Greg Cole: Okay. And then just with Hurricane Sandy coming through, do you have any idea if you're going to be able to benefit from this? 
Joseph Stegmayer: We haven't heard a lot of reports yet. But unfortunately, there may be some people who are displaced from their homes in certain areas, obviously too near coastal areas, and we do serve a lot of those markets. So it's possible, but we have not had any reports as yet as to the impact. In past situations, we have, for various disasters, whether it's floods or hurricanes or fires, we have had some business as a result of those issues. 
Operator: [Operator Instructions] Our next question comes from Howard Flinker of Flinker & Company. 
Howard Flinker: I went back and I posted the balance sheet from 09/30/11 so I can compare it seasonally against 09/30/12. Do I calculate right that you have about 2 months of inventory? Your inventories are down year-to-year about $3 million, but your sales and cost of goods are down substantially more. 
Joseph Stegmayer: Well, keep in mind the inventory now includes our new home display inventory and our company-owned stores. 
Howard Flinker: Right. 
Joseph Stegmayer: So Dan could probably make some comparisons, that year-to-year that you're looking at. But that too, will fluctuate somewhat. But our inventories at the factory levels remain fairly consistent quarter-to-quarter and year-to-year. They don't vary very much because we don't maintain finished goods inventory at the factory unless, at any given month some -- or quarter there might happen to be some homes that couldn't get shipped, maybe because of weather issues or something like that. But basically the plants maintain all the raw materials and work in process, and as their production increase, of course, those numbers will increase somewhat. But those will be -- those would be fairly static. 
Howard Flinker: So are those homes in the retail stores committed? Or they are displayed and have to be sold? Are they [indiscernible]? 
Joseph Stegmayer: Both. Both can happen, Howie. In other words, the inventories can go up at retail because they have homes in the pipeline that they're waiting to fund. They're sold, but they're not what we call funded. And then the display inventory is again fairly static. In other words, the store might have 6 or 7 homes, and that's going to be a fairly constant number. So if the inventory should not fluctuate much, unless we open up new stores, which could happen from time to time. But that's -- the inventory's not going to fluctuate much based on display home inventory. 
Howard Flinker: What does "waiting to fund" mean? 
Joseph Stegmayer: It just means that, that, that the retail store has sold it to consumer, a homebuyer -- 
Howard Flinker: Let's say I bought a house. Okay. 
Joseph Stegmayer: Yes, you bought the house and you have your property, and the home is getting set up, but the mortgage company's not going to pay us off, not going to be the retailer off until their consumer, their borrower can occupy the home. So the home gets set up, let's say the home -- the modules are joined together, the plumbing, the electrical's hooked up, and then the consumer, they get a certificate of occupancy, and when that happens, generally, then the loan can fund. So until the loan funds, the lender does not pay us off. 
Howard Flinker: But in most cases, I assume not all, but in most cases it's been approved. 
Joseph Stegmayer: Oh, yes. No, in every case, the lender has approved that borrower for the loan. We're virtually assured of getting funded on the deal, we never put a home out, we never put -- install a home on a customer's land unless we are sure of getting funded. 
Howard Flinker: And is your securitized financing any part of the loan to keep the example the same, the loan to me or that's different? I bought the house, so is security -- securitized financings -- am I one of those borrowers from you, or is that something different? 
Joseph Stegmayer: No, that borrower -- that lender to you would be somebody different. In other words -- well it could be our CountryPlace mortgage company, where we do, do consumer loans, but if we loan up money to a customer to buy home, we then tell -- we then turn around packages of those and sell them to FHA or to Ginnie Mae or Fannie, and so we don't hold the loans on our balance sheet. But yes, we do originate loans for our consumers. 
Howard Flinker: In that case, are these securitized financings, dealer financings or still something different? The $76 million? 
Daniel Urness: The securitized financings are directly related to the securitization loan portfolio that's on the asset side of the balance sheet. Those are tied together, and those numbers are from securitizations that were done back in '05 and '07. 
Howard Flinker: So that's the consumer loans receivable, the $97 million? 
Daniel Urness: That's right. And so you'll see those continue to drop as they have in the quarters that we've owned them since a year ago. 
Howard Flinker: Wouldn't you want -- wouldn't you hope that they rise, as the market price continues to rise? 
Daniel Urness: Those portfolios are set and established and amortizing off. So if we were to make new loan originations, as Joe states, those go on the government's balance sheet. 
Howard Flinker: Oh, I see. So these are recently -- basically acquired from Palm Harbor or Fleetwood? 
Joseph Stegmayer: These are acquired from the Palm Harbor in the transaction. These portfolios existed. There were actually sold to investors in 2005 and 2007, 2 different portfolios. So the only way we have another portfolio is if the asset-backed securitization market improves to the point where we could package loans and sell them to -- in the public markets as opposed to the government sponsored market, which could happen again. Now obviously -- in fact there are some indications that securitization markets are gradually improving, but we haven't seen it yet. 
Howard Flinker: I'm sure as people crawl out of their caves they'll become a little more comfortable with borrowing and lending, both. 
Joseph Stegmayer: It's interesting that those portfolios have performed quite well for the investors. There's 2 securitizations that Palm Harbor did prior to acquisition. So someday, yes, we expect that, that market will open up again. 
Howard Flinker: But what are the failure rates, just as a matter of curiosity? 
Joseph Stegmayer: I don't think we can quote them off hand. We'll have to come back to you on that. They're publicly disclosed on Bloomberg and so forth, investors get reports on those. We wouldn't have is off hand, we could talk to you about it off-line. 
Howard Flinker: Okay, no, I'm just curious, as you said, they're that good, it's kind of encouraging. And I was wondering how good. 
Operator: I'm showing no further questions at this time. I would like to turn the conference back over to Mr. Joe Stegmayer for any closing remarks. 
Joseph Stegmayer: Okay. Thank you, Allie [ph], thank you, everyone, for joining. If you have any follow-ups, feel free to give us a call. Take care, and have a good day. 
Operator: Ladies and gentlemen, this does conclude today's conference. You may all disconnect, and have a wonderful day.